Operator: Hello, and welcome to the Alstom Half Year Results for Fiscal Year 2023/2024. My name is Laura, and I will be your coordinator for today's event. Please note, this call is being recorded. [Operator Instructions]
 I will now hand you over to your host, Henri Poupart-Lafarge, Chairman and Chief Executive Officer; and Bernard Delpit, Chief Financial Officer, to begin today's call. Thank you. 
Henri Poupart-Lafarge: Good morning, everyone. Welcome to Alstom first half results for the financial year '23/'24. As we have announced already the results on October 4 and that, as you have seen this morning, these financial results are confirming what we have announced on October 4. We have changed slightly the order of the presentation, and I will start with a high-level view on our situation.
 So just to start with, considering what has happened during the first half and also considering where we are in our journey in the integration of Bombardier and our efficiency plan and action plans. We have decided to launch a global and comprehensive plan in 3 parts in order to consolidate our investment-grade profile, but also, and more importantly, or as importantly, I would say, to deliver profitability and cash. So the 3 parts of this plan is one, and the first part, which is the most important one, is the commercial and the operational plan coupled with the cost efficiency plan.
 The second part of it is how to strengthen our balance sheet in order to, again, sustain this investment-grade rating. And the third part is about the organization and the governance as we are entering into a new phase of our development. So I would just go through these 3 pillars, and then, I will hand over to Bernard for the financial results, and I will come back at the end to detail the plan.
 So the first element, the first pillar, again, is about operational and commercial plan. This is the most important one as we need to definitively improve the efficiency of our activities. If we look back a little bit what has happened in the last 6 months, we had the impact of our ramp-up. We had, as you said, a double-digit ramp-up of our activities, notably of car production.
 If I just take, for example, the month of October alone, we have produced in October 30% more cars than what we produced 1 year ago. And this, of course, has created some working capital requirements. At the same time, we had a relatively soft commercial performance, a soft commercial performance in a volatile market. And I will come back. The pipeline is still very interesting. However, short-term headwinds exist in terms of development of our activities.
 Last, but not least, we had some delays in some acceptance of Aventra, which is 1 particular project, which you know it's not only a project, it's a program which has suffered a number of roadblocks and that we are delivering in the U.K. So basically, what we are going to do, first and foremost, we are going to accelerate the third phase of our integration plan. 
 You may recall that I told you in 2021 that it will take 3 to 4 years to fully integrate Bombardier in the sense of fully built an efficient organization. We are today 2.5 years after, it's a new phase. We have done all -- as I said in last May that we have done all the basic integration and now we need to accelerate the efficiency and the optimization roadmap.
 In addition, considering what has happened and which is a clear call for change, we are going to improve the working capital discipline because it's good to grow, but this growth would not be combined with such a level of working capital requirements.
 We are going to also implement a cost saving plan. We have estimated at 1,500 jobs. This cost saving plan is not only, I would say, needed to improve our profitability, but it's also enabled by the situation in which we are -- which again, where we have done a significant investment in the integration of Bombardier by the S&As or by the support function, but which is now behind us. So these actions are essential in order to secure our EBIT and cash trajectory.
 The second pillar is to recognize that despite all these organic measures, we have now a balance sheet which has been weakened with EUR 3.4 billion net financial debt in a global macro environment, which is, I would say, less forgiving for these kinds of situations with higher -- high interest rates and Moody's, which has put us on a negative outlook.
 We have, therefore, decided to launch a package of inorganic measures, and Bernard will come back on that. These inorganic measures intend to deliver up to EUR 2 billion of net debt reduction by March 2025. And it's a combination of asset disposals, and we expect EUR 500 million to EUR 1 billion from this disposal, equity-like issuances, so some structured finance schemes. 
 And last, if needed, if and when needed, capital increase. I always said that the strength of our balance sheet is of utmost importance, and we need to do whatever it takes to sustain this strong balance sheet, and if needed, we'll do a capital increase.
 Last, third pillar of our plan, the governance organization. I think we have a complex organization. I mean, there are a number of companies which are saying that they have complex organization. I think it's something that we needed to have during this period of intense work of standardization of our processes, deployment of our tools and so forth. 
 Now, that this is behind us, I think we can simplify the organization to make sure that we have better accountability at all our level of the organization. This, by the way, starts with the Board itself. I think it was during this period extremely useful to have a very tight chain of command, and we discussed that with some of you, by the way, during the capital -- the AGM of last year, that this was on the table to split the role between CEO and Chairman.
 And we have decided to move in that direction since a while, and this will be done at the next AGM. There is no emergency, but it will be done next July with the arrival of Philippe Petitcolin, who's ex-CEO of Safran. 
 So these are the 3 pillars of our plan. Again, the first pillar, and I have to say the most important pillar, which is the organic cash generation. We have also inorganic measures, recognizing that our balance sheet is weak at that point in time. And we take advantage of this new phase of our development plan to change our organization, simplify the organization, as well as enter into a more longer-term situation in terms of Board governance. 
 So now, I will hand over to Bernard, would come back on the few financial numbers. 
Bernard-Pierre Delpit: Thank you, Henri. Good morning, everybody. I will be quick on Slide 10. As H1 key figures are in line with the preliminary ones released on October 4. So EUR 8.4 billion orders and sales and 5.2% adjusted EBIT margin. Organic sales growth is slightly above preliminary figures, up 8.8% in this first half. I also wanted to briefly touch on our ESG results. We are ahead on the roadmap for Scope 1 and Scope 2, and we continue our progress on women in management indicator. We will update you on taxonomy at your end. 
 Turning to orders, Page 11. Book-to-bill stood at 1 for the first half as anticipated since May, due to the phasing of some sizable orders in H2. Last year performance was strong, notably to the EUR 2.5 billion order in Germany for Baden-Württemberg, and it explains the 16.1% decrease in H1.
 During this first half, Europe remained strong with orders in Germany and in Italy. We also saw some good progress in APAC with EUR 1 billion of orders in the Philippines as well as orders in the U.S., most notably in Philadelphia and Connecticut.
 I'd like to highlight the good mix between product lines with rolling stock representing 45% of the total order intake and signaling system and services totaling altogether 55%. We also had a good performance across smaller orders, those EUR 100 million, EUR 200 million, totaling EUR 3.2 billion in the first half.
 The quality of EUR 8.4 billion orders is good. Margins on new orders are exceeding the margin in backlog, which, in turn, exceeds the margin traded in the P&L, and this supports our midterm trajectory. Henri will provide you with new information on margin in the backlog that support this trajectory going forward.
 Turning to sales on Page 12, at EUR 8.443 billion. Let me highlight a couple of points here. First, and as you can see from the bridge, sales growth was impacted by a negative forex effect for around 3%, mainly due to the U.S. dollar pegged currencies. Strong ramp-up of rolling stock sales at EUR 4.463 billion grew at 6% on an organic basis.
 It's also worth noting the strong double-digit organic performance of signaling and services franchises, respectively, EUR 1.243 billion, up 12%, and EUR 1.986 billion, up 14%. We're guiding for above 5% organic growth for the full year, which I admit might look cautious, not on this slide, but anticipating your question, sales at 0 gross margin were EUR 1 billion during H1. We confirm that we should land around EUR 1.7 billion for the full year. We also maintain our expectation of EUR 1 billion of those sales for next fiscal year. 
 Following up with a review of the P&L, Page 13, adjusted gross margin stood at EUR 1.165 billion, that is 13.8% of sales, up 60 bps. R&D expenses stood at EUR 254 million, that is 3% of sales, up 10%. S&A expenses stood at EUR 538 million, that is 6.4% of sales, up 6.1%. Net interest in equity investees pickup was EUR 65 million, down 13.3%. That leads to adjusted EBIT of EUR 438 million, up 10.3% and an adjusted EBIT margin of 5.2%, up 30 bps against last year, 4.9%.
 Some qualitative comments on my side here. Gross margin continues to progress, even if impacted by the negative effect of the Aventra program, as you will see on the next slide and only partially offset by some release of provision for a risk inherited from the Bombardier acquisition that has been settled on a positive note.
 R&D is increasing as planned, with, as usual, some seasonality effect, and you should expect a higher percentage of R&D over sales in H2. SG&A have increased due not only to inflation. To curb this, we are now putting in place a dedicated plan to reduce those costs as much as 1% of sales when fully implemented.
 Finally, some contribution from Chinese JVs at EUR 65 million. This is quite stable compared to the same period of last year after considering the depreciation of the Chinese yuan against euro.
 Moving to Slide 14, and the main drivers of adjusted EBIT margin growth, synergies are continuing to deliver with a contribution positive for 30 bps. Nonperforming sales, improved coverage of inflation on backlog, and R&D acceleration are all together in line with our expectations.
 Volume and mix are contributing positively, slightly above expectations. And the Aventra impact was negative for 80 bps in the first half. As this is a loss-making program, we booked full impact of the additional cost immediately in our P&L. 
 Turning to net profit, Slide 15. A few figures worth mentioning. Integration costs stand at EUR 91 million, down from EUR 116 million last year, still high, in my view, as we continue to deploy the integration program with as an illustration, now 80% of employees using the same digital suite. Plan is to complete this program by the end of next fiscal year and then close it. 
 Financial results were negative and increased significantly in the period, firstly, due to rising short-term interest rates and to the higher drawdown linked to the working capital swings, the rest coming from fees. Finally, the effective tax rate has slightly improved from 27% last year to 25%. All this is leading to an adjusted net profit of EUR 174 million for the first half.
 On Slide 16, we provide a new framework for the analysis of free cash flow. First, as all corporates, a basic KPI is EBITDA, here enhanced by the important dividends from the JVs. So it's at EUR 592 million in H1 or 7% of sales. Plan is to steadily increase it, thanks to gross margin improvement, and to secure it with new cost-out initiative.
 Second KPI is what we call FFO here, funds from operations, defined here as EBITDA and JVs dividends, less investment, financial and tax expenses. CapEx and CapDev very stable, less than 2% of sales. Financials were high in the first half due to rates and drawdown. And finally, FFO reached EUR 255 million in H1 positive. The miss of H1 came from working capital that we need here to refine as actions to regain control are different.
 When it comes to trade working capital, defined as inventories and receivables, less payables and other current assets and liabilities, the normal course of business is to keep it stable. That was not achieved this semester with EUR 730 million negative, half coming from VAT and the rest from inventories and other dues, partly offset by payables.
 On the other hand, contracts or projects working cap is more volatile. It includes provisions on top of contract assets and contract liabilities. The evolution was negative for EUR 645 million, of which Aventra, double whammy here penalize us with delays in execution on the asset side and less down payments as planned on the liability side.
 I take the opportunity of this slide to give some color on H2 based on this new framework. FFO should be lower in H2 due to seasonality of investments and dividends, trade working cap should reverse partly, and contract working cap continues to be volatile. At worst, we see some further small deterioration. But overall, it will depend on the phasing of down payments.
 Slide 17 provides details of working cap and variations as reflected in free cash flow. So you can see a EUR 763 million negative variation of trade working cap, of which EUR 730 million are cash, and EUR 688 million variation of contract working cap, of which EUR 645 million are cash.
 Payables have increased as a function of sales and inventories, where overdues and the VAT included in the other asset liabilities explains negative evolution of trade working cap. As explained earlier, low level of down payments explain why funding of contracts have been -- have only increased by EUR 177 million, where execution issues, notably for Aventra, have increased contract assets by EUR 836 million.
 We are now putting in place a control chain for free cash flow with 2 major cockpits. One is operational to pace actions at country and project level for every link of the chain from tenders to acceptance and a financial reporting cockpit to switch from a backward analysis of actuals to a rolling forecast approach as -- on cash in and cash out. 
 On Page 18, you see the net debt evolution with free cash flow, dividends, and leases contribution. 
 And finally, on Slide 19 is the roadmap to deleverage Alstom from now on. Deleveraging will be supported by cash generation and inorganic measures, both contributing in a balanced way. Inorganic measures were not in the trajectory of May. The total, now decided by the Board, is a EUR 2 billion contribution to deleverage with a swift implementation target of March 2025, ahead of FFO generation showed here that goes until March '26. 
 Considerations on rating metrics are the drivers of this differentiated timeframe. The press release gives some indication of how we will orchestrate this deleveraging. First, come the disposals for a range up to EUR 1 billion. The potential is already identified, and we are starting execution that will take several transactions.
 Then is quasi-equity at subsidiary level? Some precedents give sense of what we could achieve here. Structuration and costs are the key drivers on this part of the plan to have the required impact on leverage. It could be significant as we have identified scope for ring-fencible activities, providing stable revenues that can be structured as dividends for preferential type schemes.
 I can only paraphrase here the press release that clearly underlines that Alstom is flexible on sizing and sequencing of those instruments. Last, the Board will propose to the general assembly in July that no dividend will be paid with regard to the fiscal year '23/'24.
 Henri, back to you. 
Henri Poupart-Lafarge: Thank you, Bernard. Just to come back on our action plans and a little bit to step back on our situation today. First, I just wanted to outline our journey in terms of profitability. Just to remind that we are definitively in line with our plan to that regard, and we are increasing the gross margin on the backlog, by the way it's for the first time we show to you this gross margin on the backlog. But I think it was important to do it to illustrate where we stand.
 And as you can see, we are not back to the level where we were before the Bombardier acquisition, but we are progressively getting there, which is, of course, one of the most important indicator -- looking forward indicator, advanced indicator of our ongoing profitability. That's the first thing. So our backlog is a sound backlog, and we are continuing to improve the mix of our backlog quarter after quarter.
 Second element, our market, so we still have a very strong pipeline of activities, and we have a midterm market potential, which is quite high with EUR 230 billion over the next 3 years. Even though there have been some high shifting, if I may say, of some of our projects during this first half.
 Because of some macroeconomic environment, some projects had some difficulties to get to notice to proceed to completion because of their higher cost than expected or because of the difficulty that we have -- that our customers have to finalize the financing of this project.
 And this has shifted a number of opportunities to the right and has created the situation. I do consider that with what's happening today on the market and the kind of smoothing of the inflation worldwide plus probably -- and this is probably linked with the first one, relatively smoothing of the interest rates as well worldwide, that this situation should come back to a more normal situation.
 And again, fundamentally, the pipeline is still extremely strong, and needless to remind everybody, the imperative need of decarbonization of transportation systems worldwide. Another element here as well, it's a new indication that we give to you. And we discussed that. I remind Emmanuel a few years ago in '21/'22, which is the ramp-up. 
 And I remember that you were challenging us on the fact that we were slow in ramping up and that there was a need for a faster ramp up. The good news is that this year, we are actually ramping up quite fast. And we are going to produce a number of cars. So again, it's the first time we show you the number of cars, which is a physical indicator that we're going to produce, 4,700 this year, expecting 5,200 next year.
 So because of the long lead time items, WIP inventories, we are getting prepared for this growth. Actually, the growth of the second half is totally prepared in our factories, and even, part of the growth of next year is already there and is already in our WIP and inventories, as sometimes it takes more than 12 months to get the material.
 So just to illustrate why we had this ramp-up difficulties or ramp-up issues or why it has created so much requirements in terms of working capital. And we have a backlog, which is at -- particularly on rolling stock with less than 40% completion, which explains that we are in this phase of the execution of our backlog.
 This indicator, as you know, we have already shown you that now for a few quarters since we have integrated Bombardier, which is a message globally, we have, as you know, stabilized the quality, and all the quality indicators are well oriented, whether it's safety issues, defect per unit, external demerit and so forth.
 We are starting to ramp up the manufacturing throughput. The curve seems to be flat, but it's a plus 16% increase in manufacturing throughput. Engineering is stabilizing. Why Engineering is stabilizing? Because, again, the phase in which we are in the execution of our backlog is the manufacturing of our project. But the development of the projects have happened over the last 2 years, and now we are coming to the end of the development of this project, and we are early in the manufacturing period of the backlog. 
 What is to be worked upon is the on-time delivery. We are still far away from the situation in which we were prior to the acquisition of Bombardier. It's not only due to the acquisition of Bombardier. I think it will be too simple -- too simplistic to say that.
 Part of it is also to the COVID and the supply chain disruption that we have also felt from in the recent years, and this has created some delays in our portfolio, which unfortunately cannot be recovered easily, but we still have this as a challenge -- as a key challenge for Alstom going forward.
 Just an illustration of that are 2 main projects, which have been publicized, the first 1 on Amtrak, while I will not go into the detail, but as you know, we are in this homologation phase. We said that it was complex. It remains complex. It was the first time ever that the FRA, the Federal Railway Administration and Amtrak, our customer, have to approve a very high-speed program.
 And of course, we need to make sure that safety first, that this is absolutely essential to be perfect before passenger service. So there are complexities. We are forecasting the start of revenue service by the summer of 2024, which means that we are now in the last mile.
 Aventra platform is a totally different project. Here, it's a very large program, which has been started years and years ago. It has taken some time. There are some delays, but the month of October is in line with our expectations. So we are manufacturing the trend. We are delivering the trends, and we have a few commercial discussions to have with our partners and customers.
 Now, moving on. So that was about the project, the backlog, the pipeline, and moving on to our cost, and in particular, to the S&A, so the indirect cost, I wanted to show you a little bit as well the history because we have already made a step change when we have integrated Bombardier on this one, and we -- you can recall or remember the discussion that we had on the synergy with Bombardier, and this is -- I mean, it has allowed us to move from 7.2% basically prior to the acquisition to 6.4% now.
 But I think there is a new step to be done. As now, we have done most of the integration. If you take just 1 example to illustrate the number of legal entity that we had to merge, more than 100 operations, which involved a lot of finance people, HR people, legal people, and so forth, it has been a huge work as well as the deployment of all our tools. And now, it's behind us. And therefore, we can go to a new step of the simplification of our organization taking advantage now of our size.
 And we are launching this S&A program of 1,500 FTE. Just if you have a question, it's much too early to give you any details on where it should be, how it should be done and so forth. This is a plan. And of course, as you can imagine, the first one to be aware of the situation or to be communicated the situation will be the so called representative, and we need to discuss with them how to do it most efficiently.
 But this is -- that's not -- I mean, this is not that's been triggered by what has happened during the first half. It's also a journey in which we are in our integration of Bombardier and our development. Needless to come back on all the measures, and Bernard has also discussed some of them and gave you some flavor on H2, we have launched a comprehensive plan in order to optimize our capital employed, our working capital.
 We gave -- just to give you some indicators, like as you can imagine, there are plenty of indicators internally that we are monitoring, but 1 of them in terms of inventories, we were at 91 days as -- for -- at the end of H1, we want to move to 80 days in 2024 and the midterm target is at 75 days.
 Of course, we are helped by the sort of stabilization of our production because these days are past days whereas, of course, the inventories are for the future production. So we are comparing the level of inventories with the past level of the revenue, whereas the reality is these inventories are here to serve future revenues and not past revenues. 
 But in the main, these are efficiency improvement that we want to follow. Same thing for the contract working capital. I mean, basically, it has all to do with on-time delivery and the fact that we need to accelerate the acceptance cycle with our customers. Now, that we are ramping up our production, we need to make sure that this production is accepted timely by all our customers and operators worldwide and in some instances to renegotiate some cash curve in order to be in a better position going forward.
 So in a nutshell, we take the situation as it is, and we take action. It's a call for action. I think the situation of the company, and I want to repeat it, is extremely sound in a sound market. And as I said, we have a sound backlog. However, we faced some headwinds in terms of working capital management, and we need to work on these ones. 
 And we want to have a commercial and operational plan, selectivity of orders, again, to also select the best one from the risk profile, but also from the financial profile. The ramp-up is there. It's a positive news. It comes with stress on our balance sheet. So we need to have a much more efficient ramp-up, if I may say, to restore the on-time deliveries, to decrease inventory. This is, again, a few examples of indicators that we are monitoring internally.
 Cost efficiency is -- has been, I would say, made possible by the situation in which we are in our journey. We are launching that decisively to improve the cost structure of the company. We need to recognize that this will not be sufficient to ensure a strong balance sheet. And therefore, we will do whatever it takes to keep this strong balance sheet, asset disposal, quasi-equity issuance as well as capital increase, if and when needed.
 We streamlined our governance for this new phase, mostly internally with a new organization internally, I would say less metrics oriented, more streamlined, more P&L-oriented, cash flow-oriented. We have, by the way, changed our short-term initiatives, which is quite unusual to do that half of the year. But I think this situation calls for drastic and unusual actions. So we have decided to change the ongoing STI, so the ongoing bonus scheme in order to increase the cash element of it to make it actually conditional to the cash generation so that it's extremely clear.
 On the governance, I think, as we are entering into this new phase, which is more a long-term phase, we have also decided to reinforce to the Board. I think the Board needed to be reinforced in this period. And we will welcome at the next general assembly, so in July, Philippe Petitcolin, ex-CEO of Safran, who will reinforce the Board expertise. I think it's a very good news for that.
 Last, but not least, I want to conclude by confirming, reiterating our midterm target, book-to-bill above 1. I mean, this year -- this first half, we are just at 1. We anticipate a better H2. But as I said, this year will be nevertheless softer in terms of commercial activities. But the pipeline is still strong, and we are definitively in a growth market and not a shrinking market. This will be translated by high sales organic growth, above 5%, this year and on average for the midterm, probably this year, as you have seen, the first half was above this target, so we can hope to be above for the full year as well.
 Confirming the adjusted EBIT around 6%. Again, the profitability is there, and gross margin in the backlog is increasing in line with our short-term target and mid- to long-term target of 8% to 10%. And then, regarding cash flow, we have discussed that extensively. We are targeting the range of between EUR 500 million and EUR 750 million this year with the volatility that we all know around these numbers and the conversion of above 80% for the midterm target.
 So, again, as a conclusion, we need to have global view of what's happening in the company. Clearly, it's a call for change. It's a call for action. It's a call for acceleration. It's not fundamental, I would say, business model issue that we have. I think we are in a good market, well positioned in this market, but we need to be much, much more efficient in the way we are managing this ramp-up in order to make sure that we are basically increasing the velocity of our capital. I mean this is just about that.
 We are ramping up. We need to convert our stocks and inventories and contract assets into cash much more rapidly. That's what we have done during the first half. And this is clearly what we will and the full management team and the 80,000 people of Alstom will do in the coming period.
 So thanks a lot for your attention, and I think we'll move to the Q&A session. So I'll hand over back to the operator for the Q&A session. 
Operator: [Operator Instructions]  We'll now take our first question from Daniela Costa at Goldman Sachs. 
Daniela Costa: I have 2 questions, actually, sort of 1 on the balance sheet actions. And just to understand a little bit better. I'm not sure I was completely clear on the staging of the timing of the various actions. Why not just fix the balance sheet liquidity first, do the capital raise, and then move on with the divestments? Because can't divestments be subjected to antitrust timings and other things? So why not prioritize the capital raise?
 And then a second question, more operationally, still trying to understand what was really the sudden surprise between June when you had reiterated that original guidance and September when you changed the guidance. I understand sort of there's a big working capital ramp-up. But we knew the backlog was big.
 So just if you could provide further clarity on that, like how frequently do you get free cash flow report in terms of your internal accounting sort of so that we understand a little bit better why the surprise? That would be very helpful. 
Henri Poupart-Lafarge: Yes. Thank you for your question. The first one on the balance sheet and the inorganic measures. First, if we wanted to do a capital increase for sure, I would say, then we will not have been tried. We don't have launched it today. If we believe that we need, first, to look at alternative measures, the first one being asset disposals, and as you know, we have given us a target of between EUR 500 million and EUR 1 billion.
 It's always difficult to predict what would be the success of an asset disposal program, both in terms of amount and in terms of timing. So we want to give us some months in order to have a better visibility of what could be the outcome of this asset disposal and the more precise outcome of the asset disposal, both again in terms of quantity, but also in terms of timing of it.
 Then there is this potential quasi-equity issuances, which also have to be studied. And today, it's too early. It's very early days on this front. We need to look at what kind of assets. As you know, we are in the infrastructure business, which is well -- a business, which is well suited for this kind of quasi-equity issuances. So we need to look at this kind of asset. We need to discuss with potential investors.
 And here as well, we will have better clarity in a few months. So this gives you the timeframe to decide whether a capital increase is needed or not and what kind of size of capital increase is needed if, again, it's being required. So this is what has driven, the fact that we are open now -- I mean, it's a question now that we potentially envisage it, I think it was fair to give you that message. But again, that's not because we are announcing that it's on the table that it should be definitively for sure an element of the plan.
 Second question, on what has happened. And yes, you're right by outlining it, and we should admit it. Not only I would say that we had a bad performance in the H1 in terms of cash. Secondly, we have been poor in predicting it. There are probably a number of reasons for that because as you said, the ramp-up was there. And in a way, it's good news that we have managed to start the ramp-up as anticipated in order to execute and deliver our backlog.
 So the bad news were more coming from the cash in, obviously. So on the fact that we have not received from the customers what we anticipated to receive, we gave the example of Aventra. We can give the example as well of the commercial activities, and we were hoping up until the last minute to receive some cash, for example, from Israel, which didn't come.
 So it's always complex on the cash in, which are coming in big bulk of cash of EUR 100 million, EUR 200 million to be extremely precise in our prediction. Now, having said that, it's clear that we have failed in this prediction. And, therefore, Bernard has launched some new governance measures, new rolling forecast measure, a new routine, I would say a management routine to make sure that going forward we'll have a better visibility on our cash generation.
 Again, with -- and it's -- we need to have a balanced view between the fact that we need to have a better visibility, but we need to also acknowledge that there's a strong volatility in our cash. And when you have single payments, which can be up to EUR 200 million, that, of course, introduces some volatility in our cash forecast, and this is our business model. This is not something that we will solve any time. I mean we need to have better visibility.
 But again, when the cash payment is just before us at the end of the quarter or just after the end of the quarter, this is something which is very, very difficult to assess. So beckon that we have failed there, but -- and that we are going to improve our processes, but it's not -- never going to be as precise as the profitability. 
Daniela Costa: Sorry, to be concrete on that, do you mean like you had -- you were getting like quarterly cash reports and you're now getting -- sort of just in terms of processes? 
Henri Poupart-Lafarge: So, yes, maybe I should be more precise. Of course, on the actual numbers, we receive -- we have a monthly cash report from the operation, but the treasury department has daily cash report. So the question in terms of cash report is known. The difficulty is the prediction of -- and the forecast of the cash.
 And here, we are going to have a rolling forecast, monthly rolling forecast of cash and probably even weekly once at the end of the quarter. But again, it's a collection, and we have not only a global monthly rolling forecast, but it's a collection of all the payments, because, again, it's a cash in, which is the most difficult one to predict, and all the payments which are expected in the quarter are known and we are going to follow how they are evolving.
 But maybe, Bernard, you want to say a few words on that? 
Bernard-Pierre Delpit: Yes. Of course, not different from the ones you had. I would say that, first, we have not been taken off guards by the increase in inventories. What came as a surprise was the unsuccessful mitigation actions that we had in order to offset that. And we have to wait until the very late days of September to consider that it would be more difficult.
 And then, as soon as we observed the impact, we communicated to the market. So it's not the trend in inventories and the difficulties in some contracts that was a surprise, but it's all the mitigation actions that did not come through.
 In terms of governance, what we are now organizing and setting up is, what I call during the preliminary comments, a complete chain of command on cash. It is starting. And maybe it will take some months or quarters to be fully efficient. But it takes -- it's twofold, first, in terms of operations because cash and working cap is related to the full chain of operations.
 So we have a kind of operational cockpit with Chief Operating Officer being in charge of that in order to cascade to all countries and all projects the orders, instructions in order to get it in line with what we expect in cash. And then, every month, we have a rolling forecast exercise. And the idea is to move from looking backwards at actuals to moving forward and forecasting month after month with a 3-month horizon what's going to happen.
 By the way, not only on cash, but also on P&L as a whole. And that's the new governance. It involves the senior management of all regions in order to be fully aligned on what we should do in order to pull in some cash in actions, not to wait for the last week before closing in order to improve predictability and the planning of the operations.
 So, of course, it's not a quarterly report, it's monthly. And when we look at cash in action, by the way, it could be as well as weekly. So that's a full chain of command and control that we are putting in place. 
Operator: And we'll now move on to our next question from Gael de-Bray at Deutsche Bank. 
Gael de-Bray: I've got 3, please. So firstly, the subject of guarantees has been rather topical, I think, over the past few months. And I wonder if you've started to see some regions or product lines for which it has become more challenging to get the necessary guarantees from the banks to compete for new contracts.
 And then secondly, on the planned restructuring program, you mentioned 1,500 jobs. But how do you balance that with the significant step-up that's still needed in production over the next few years? I mean, given the quality and execution issues you had in the past, I wonder if this is wise to reduce the support function expenses at the moment.
 And the third question is on some of the media reports we've seen regarding some of your projects like Amtrak or RER B and RER D in France. I mean can you talk a bit about your own views on the development for these specific projects and in particular on the expected cash flow profiles, if you can? 
Henri Poupart-Lafarge: Thank you, Gael, for your question. On the first one, on the guarantees and the bonding, we have large bonding capacity available as we speak. But you are right -- I mean, as I said a number of times, we need to have a very strong balance sheet precisely because we have a large amount of bonding to be used in our activities and which are here to guarantee the customers for our performance or because of the down payment, the cash advances that we received.
 So it's precisely the main reason why we need to have a strong balance sheet and why we need to do whatever it takes to keep this strong balance sheet, which is being translated into investment-grade rating. But fundamentally, we need to have this strong balance sheet.
 As we speak, we have absolutely 0.0 issue on our bonding issuances. We have available capacity, and we are taking the measures so that we never have some issues of that kind. 
 On the support functions, you're absolutely correct. I mean we are not going to endanger at all the ramp-up. So the issue of the support functions is after the merger with Bombardier, we recruited a lot. We beefed up a lot of our functions. Again, these are support functions, finance, HR, communication, legal, all kind of functions, which are there to -- which have been there to integrate the 2 companies with 1 each other. 
 And now that it is done, the level of activities on that front, which has to be done, is lower. And we can also streamline our position. Just to give you an example, in finance, we have deployed, and we are deploying the Alstom tool. Finance, during all this period, had to support 2 tools, the Alstom one and the Bombardier one, and there is a kind of a double system, which is today in finance. Soon, Alstom tool will be deployed everywhere, and we will be in a position to decommission the Bombardier tool. So that's what is being at stake.
 We are not going to decrease the jobs in the jobs which are directly related to the execution of our backlog and to the ramp-up of our industrial activities. In terms of projects, I'm not going to comment all the projects. We have commented on Amtrak. We have commented on Aventra. We have delivered, as you have probably seen in France, the first area.
 Of course, these programs had to go through a number of developments, COVID and a number of new requirements from customers. So -- I mean, let me only outline when there are particular issues and so forth. If we don't outline this, because these are normal projects with normal life of projects, working cap can vary from one project to another one. 
 And globally, we need to improve all the working cap issues. Even in projects which are well-financed, there can always be a better finance. And again, you have the terms of payment from the customer, which explains why it's well or badly financed.
 And then, you have the inventories, which is also related to our efficiency in our production system. So even if we are well financed by the customers, it's not a reason to pile up inventories during our execution phase. So no particular comment on this one. 
Operator: And we'll now move on to our next question from Akash Gupta at JPMorgan. 
Akash Gupta: I have 2 as well. The first one I have is on Slide #19, where you provide the bridge on net debt and guide that by March 2026 we will have largely at the midpoint as 0 net debt balance sheet. And when I look at these moving parts, you have both working capital inorganic measures and FFO and think about a capital increase or rights issue. 
 Is it fair to say that we should be thinking about rights issue as the balancing item that whatever you generate from FFO and inorganic and working capital the rest of the amount to get to net 0 balance sheet would be a capital increase? And maybe that is why it is not something you're considering upfront, but it's one of the step that may be considered later? 
Henri Poupart-Lafarge: Yes. Akash, thank you for the question. I would say, yes and no. The way we are sizing or we are envisaging a capital increase is more related to the EUR 2 billion. So we have an objective of EUR 2 billion. And it's -- if you say it's a net amount, let's say, the capital increase, it's a net amount of this EUR 2 billion after the asset disposal and the quasi-equity issuances. 
 The fact that Bernard showed you that globally in the coming years the FFO will equate to basically these inorganic measures. I'm not saying it's a coincidence, but in a sense, it's -- in a way, it's a confidence of numbers. But the way we are going to structure it is more to look at the inorganic measures.
 And yes, our guidance or our prediction in terms of FFO generation happens to be of the same of the org magnitude of this EUR 2 billion, but this has not been built as such, the results more than the input.
 But Bernard, you want to say something? 
Bernard-Pierre Delpit: Yes. I think that here timing is the essence. I mean, the EUR 2 billion are -- have been sized in order to improve the metrics when it comes to rating before March '25. That's why if you would consider a potential capital increase in this timeframe if what will come from proceeds of asset disposals and the quasi-equity issuance is not enough to reach the EUR 2 billion.
 So I think that timing is really important here. And that's why you have to make a differentiation between what will come from organic deleveraging, and it will take until the end of '26 to get the approximately EUR 2 billion FFO there and the EUR 2 billion from inorganic measures that have to be quicker in terms of implementation. 
Akash Gupta: And maybe a follow-up on the working capital situation. So we had EUR 1.3 billion outflow, and we have seen outflow in prior years as well. Demand-wise, you're sounding a bit cautious than what you used to be before giving the interest rates and availability in the market.
 I want to square off that, when it comes to the future demand in the next 3 years, are you also indicating that the benefit on working capital from higher demand could be lower than your previous expectations? Because when I look at this working capital chart and given that we have already burned EUR 1.3 billion in the first half, I don't see much of a reversal in this plan. So maybe if you can comment on are you assuming that the industry growth is going to be a bit lower than what you were previously anticipating when it comes to book-to-bill? 
Henri Poupart-Lafarge: Akash, thank you for the question. We still -- and you are correct -- I mean, we still see a very strong pipeline. But again, as we said, the macroeconomic environment has probably cooled off a number of projects. Whether it's going to be up again to the same extent that we were anticipating, it's always difficult to say because the macroeconomic environment is complex to predict and even more so for the geopolitical environment, of course.
 But yes, we are more cautious than we were in the past. And this, indeed, we had benefited over the last period from a very nice working capital evolution on that front, and this was particularly true the year before and last year and probably will not get this kind of situation in the future back again.
 If you look at our working capital number, I mean, we are at a kind of historically high number of low negative. I mean, so we are already in that kind of zone. So it's difficult to predict exactly where we'll end up. But you're right, we are a little bit softer on the market.
 We don't want to also clearly to look for orders just to get down payments, we want to be selective in the order we take. And we are not going to rush for any kind of orders even it is -- if we have the possibility. I mean, even though market is softer, still, we have a large pipeline, but we want to be selective going forward. 
Akash Gupta: And my second one is on gross margin. You mentioned it's 17.2% in the backlog. Where are we right now adjusted for PPA currently in the business? 
Henri Poupart-Lafarge: Well, I don't know exactly what you mean by adjusted for PPA because now the backlog is, I would say, pure backlog. There is no PPA involved in this backlog. So we're at 17.2%. We need to deliver. We did -- yes, go ahead, Akash there. 
Akash Gupta: Yes, I was referring to how this backlog margin of 17.2% compares to what you are currently executing in your P&L. Because in P&L you report gross margin, but then there is some PPAs involved in cost of goods sold. So what is the underlying gross margin you are currently executing? 
Henri Poupart-Lafarge: No. So a good point. No, it's not related to the PPA. So we have a difference today between the backlog and the execution in the P&L. Two things, first, we need to take into account that the mix of the backlog is different from the mix of the P&L. For example, long-term maintenance contracts, of course, are much -- have a much greater weight in the backlog rather than in the P&L because of their, again, long-term nature. 
 So we need to be careful. That's why maybe in the past we are cautious in not giving you these numbers, it's difficult to directly deduct from this number the gross margin in sales because, again, you need to know exactly the mix of the backlog to be able to try to simulate that.
 And secondly, we still have some cost optimization to do. And we still have -- and this is still related to the Bombardier acquisition that -- but it's -- the phase in which we are we still have, what we call, under-recovery in our jargon, which is to say, that we have still inefficiency in our industrial base and we need to address this inefficiency globally.
 And that is explaining why we have also a difference between the gross margin in the backlog and what we are executing. The evolution of our projects globally, if you take the first half, we had a positive evolution. So basically, we have pluses and minuses, of course, depending on the project, but the sum of the pluses and minuses is positive.
 So we had a positive evolution, as you know. I think I explained that in the past the gross margin in the backlog is a result of the gross margin entering into the backlog through the orders, margin exiting of the backlog through the sales. But inside the backlog, you have the reassessment of this margin quarter after quarter.
 This reassessment, which has happened again during this first half, has led to a positive evolution of the gross margin in the backlog, which is the sign of a sound backlog. So this is not coming from there, but this is coming from cost inefficiency, which we need to address in the coming period.
 And you remember that, again, we said that this was the phase -- the last phase of our integration with Bombardier, so during the last 18 months of the 4-year journey that we need to address this optimization. 
Operator: And we'll now take our next question from James Moore at Redburn. 
James Moore: I've got a few questions. I wonder if I could go one at a time to be easier. At the recent EUR 1 billion cash flow burn warning, you indicated that rights issue was not on the table despite knowing about that cash burn. What has changed in the last month on your conviction on cash generation, inventory reduction, working capital that means that the capital raises have now come on the table? That's the first question really. 
Henri Poupart-Lafarge: Yes. I think it's a fair question, and I think we discussed that in the past, this issue of a capital increase. I think we had intense work in the last months basically and together with the Board. And my view is that we need to do whatever it takes to keep a strong balance sheet. This was the motto, I would say, in the past, and it remains a motto. 
 We -- after having assessed and starting to assess what was the asset disposal potential, these quasi-equity issuances and so forth, we felt with the Board that there is a risk that this will not be sufficient. And therefore, it was probably wise to tell you, to tell the market globally that as we are putting as a first priority this strong capital requirement, we could envisage if this risk occurs that we could anticipate that we are sort of pushed to do a capital increase.
 So it's more, yes, the start of the assessment of what we do in terms of asset disposal and capital issuances. Again, as I said at the beginning, if we were convinced that this capital increase was needed 100%, then we would have launched it today. I mean, there is no reason to wait -- for waiting. But it's a more kind of assessment analysis profile, risk assessment, and we decided to be -- not to launch it today, but at the same time, to alert the market on the fact that if we don't achieve this EUR 2 billion debt reduction through the 2 first buckets we will need to go to run the third one. 
James Moore: That's helpful. Two follow-ups on that if I may. Could you explain what the quasi-equity-like transaction really is? And could you spell out what it looks like on any potential impact on dilution to the share count? And everything hangs on the EUR 2 billion on the timing of the asset disposals. How advanced are you on the EUR 500 million to EUR 1 billion? And what does the timetable really look like in terms of JVs or teams basically or whatever? 
Henri Poupart-Lafarge: Yes. Maybe, Bernard, you can take this one? 
Bernard-Pierre Delpit: I will take the first one in terms of quasi-equity. So I will -- I would like to, James, look at precedence that are, in fact, quite numerous in the market of companies that have succeeded in injecting private capital at subsidiary level as an alternative to a direct straight equity raise. 
 And I think that this is particular fit -- suits to our situation where we have activities that can be structured in a way to welcome some minority shareholders because they provide stable revenues and cash that can be structured in a way that will allow like this kind of preferred shares scheme at a cost that is below cost of capital for different reasons that I will not explain here.
 So we think that it could be significant. We have some activities that even if you can't equity content for 50% of that because we will continue to consolidate those activities and to run those business as we do now. It could have a significant impact in the deleveraging of Alstom. So we have started to work on that. It's something that can be executed quite swiftly. It's a question of structuration, documentation, cost, and of course, dialogue with rating agencies.
 But I think it's a good contribution to a comprehensive plan as the one that we have. Now, talking disposals, we have, I think, valuable assets and we are working in -- on different potential transactions from easy ones, I would say, to more challenging ones in terms of [indiscernible] structuration, discussion. 
 And by the way, I must say that we have already received mark of interest of lots of players, both sponsors and players of our industry for those assets. So I'm very confident that we will be able to announce deals in the next, I would say, quarters in order to fit with our time horizon. 
James Moore: That's helpful. Really helpful. And just finally, if I could. I think your answer will always be -- I'm not going to go into the details on contracts as that's always been the answer, but more holistically and generally, whenever we heard that in the past and then we get a problem like Aventra, it's very hard from the outside to manage the potential risk about working capital cash flows on large contracts.
 What can you do more holistically to help your owners understand where you are on the large contracts in the backlog or healthier large contracts, whether SBB, OBB, Amtrak, ICE 2, [indiscernible] RER B, D, to understand percentage of acceptance versus percentage of production versus percentage of delivery, which is a complicated dance to understand that risk profile? 
Bernard-Pierre Delpit: I fully understand your point. And we are always trying to strike the right balance between giving a not simplistic, but at least clear and simple view on how all those contracts work and diving in too many details and in order to embark you with the complexity of our business. So it's difficult. That's why we've tried to differentiate between what we call critical projects and the bulk of our projects that are not critical, that would -- that are really doing well.
 And every time we think that something is worth mentioning because it's significant in our contract working cap swing, we will, of course, explain. That's why, for the first time, we spotted the Aventra program as one of the moving parts that played a significant role in trade working cap.
 But the big thing here is beyond contracts, what I really wanted to underline in the new framework that we try to build in order to help you thinking about in terms of direction where cash is coming from and how significant it will be, it's really the differentiation between what we call FFO, which basically is cash from operations or call it underlying EBITDA, less investment, what comes from trade working cap and contract working cap.
 Trade working cap, I see it very much as financial matter. I mean, you have to take care of that in order to limit as much as possible swings from one year to another year. And I think that by the end of this fiscal year, we will end up with, I think it's my objective at least, the negative impact of VAT, and I remind you that VAT played a significant part of the positive cash of last year.
 But, of course, it was a one-off. So the reversal was negative. But for the rest, you try to mitigate what comes from inventories and other dues by payables. You can't go too far on that, but I think it's very much a CFO task to manage it as stable as possible. Then, when it comes to contract, it's really the complexity of this business.
 And frankly, it's inherent to this business to have it a little lumpy. That's why it's so important to have a 0 net debt as ultimate target because you have to manage those swings in contract. And it has to do with where you are in the cycle of execution of the backlog. I mean, of course, you could consider that when managing a EUR 100 billion, which is not the case, but it will be the case in a few years' backlog, then all pluses and minus are balanced. 
 But today, our rolling stock backlog is younger than a balanced one with approximately 40% on a 100% scale, 40%. So it's not yet as an average cruise speed. So that's why it's so -- we have to acknowledge that it can be volatile. And each time a contract could create significant issue in terms of cash, we will try to spot it and to explain it. 
Operator: And we will now move on to our next question from Will Mackie at Kepler Cheuvreux. 
William Mackie: Thank you for opening the time for questions. I have 3, one, hopefully, relatively short. Could you just confirm what you said earlier in terms of the timescale to complete your inorganic capital raise issue, is it basically your objective to be done by March 2025 effectively giving yourself 18 months? And then which tying into the rating agency reviews, what is your understanding of how the quasi-equity raise will be treated by the rating agency? Do you think it will be treated as equity, and therefore, outside the bounds of your leverage calculations? So that was the sort of first area. 
 The second comes back to the working capital, Slide 16. You gave some indication that funds from operations would be slightly lower in the second half. You've stuck with the full-year cash guidance you gave on the fourth of October. But can you talk a little bit more? Because it sounded as if like you were incrementally more cautious. 
 Talk about how you expect the trade working capital to develop in the second half with the effect of the cash flow programs that you're launching? And what we should anticipate about the contract working capital? Because I thought we were expecting a higher level of order bookings, and therefore, prepayments.
 And the last question -- hopefully, you're writing it down, but the last one is on your gross margin slide for the backlog. I mean it's a simple question, really conceptual. You've shown that before the integration with Bombardier, you were generating up to 18% gross margins in the backlog. Your chart implies that you never really get back to 18%. But I'm thinking you should have gained the benefit of synergies, consolidation as an industry leader, selectivity. So why is that longer-term gross margin objective still below what you achieved prior to the Bombardier deal? 
Henri Poupart-Lafarge: Just 1 or 2 points. In terms of the inorganic measures, first of all, it's -- there are 2-time reasons to reconcile, the '25 and the rating agency horizon. There is the actual implementation of the measures, and in particular, the asset disposal, and to get the cash it takes a lot of time to get to closing. And our ability and our assessment of what we will get from this asset disposal and which will, of course, be in a much shorter time.
 And basically, when you discuss with Moody's, if you have, for example, signed a binding agreement in terms of disposal, then they can take into account the cash, which will come out of that. Similarly for the quasi-equity, it will take a few months to precisely answer to your question, i.e., to have a precise view of what can be done and how it will be treated by Moody's.
 To be fair, if it's not treated as equity by Moody's, it has no interest for us to do it. So that's what has to be done. So there is 2 time horizon -- there is one time reason, which is in the coming 12 months or before that, where we are going to assess, work globally, internally, and with Moody's. And then there is more March 2025, longer-term horizon to get the cash in our hand.
 I will leave the slide on prepayment to Bernard. But first on the gross margin side, I think you are -- I don't know if you are drawing some line between the 2. What we want to do is to improve by 0.5% the backlog gross margin year after year. And I think it can go -- there is no limit to that, it can go back definitively to Alstom level and to the 18%. You have to see that, yes, we need to take into account the better market conditions.
 We have also, as I have shown on the S&A, a better cost structure, so we can have -- it can lead to higher EBIT size. So no, there is no -- I don't think we should look too closely on where the curve is, the plus 0.5% per year, 50 bps per year will lead us to this kind of territory. 
 On the working cap, Bernard? 
Bernard-Pierre Delpit: Yes. And more generally, on H2 cash generation. So I will maybe rephrase what I said when commenting on Slide 16. First, on the FFO side, yes, indeed, I think it will be lower in terms of euro than percentage of sales as in H1 because of the usual seasonality of first dividends coming from the JVs, and we include those in our FFO KPI and also some seasonality of investment. So both, I think, will weigh on FFO in the second half, but it will, of course, be very positive. 
 On working cap, I said that on the trade working cap side, it should be positive as well as we will reverse some negative impacts that you've seen in H1, but it will be offset in some extent by also the reduction in payables that have increased during the first half. And then, when it comes to contract or project working cap, I don't see a lot of room for further deterioration, hopefully.
 But I see some volatility still because of the nature of what we include in contract working cap coming from down payments. I mean, just to illustrate, since we spoke on the 4th of October, we had some -- the situation that you all know in the Middle East, so it could have some impact on signing of contracts or progress payments in this region where we are quite active. So this is a kind of volatility or changes evolution that we have to contemplate when comparing to what we said on the 4th of October. I hope it's clear, Will. 
Henri Poupart-Lafarge: Okay. Next question? 
Operator: We'll take our next question from Alasdair Leslie at Societe Generale. 
Alasdair Leslie: So 2 questions, please. Just to dig deeper kind of cultural issue with the bridge to free cash flow at Alstom, maybe senior management, so perhaps too focused on securing orders rather than execution. So can you talk a little bit about the new control chain, the employee incentive scheme, any other initiatives you're considering or launching that might address that kind of imbalance?
 And second one, I was just wondering if you could share a little bit more color on Aventra, if possible, because it does look to be quite time sensitive, I suppose, in terms -- in regards to the impact over the next 12 -- 6 to 12 months. You said in October, you were kind of hoping to be working towards an improvement in second half. So kind of how is that going? And I suppose what gives you confidence this can really be finalized in the first half of next fiscal year, which is only really 6 months away? 
Bernard-Pierre Delpit: The sound was not great, but I think that I understood the first question on the control chain on cash generation, and then we'll take -- I will take this one. As I said previously, it's a 2-fold plan, and it has to do with governance, internal governance. And I think it fits well with the idea of streamlining the organization in order to create clear accountability when it comes to cash. 
 But what we are doing is, first, to have some kind of, what I call the cockpit when it comes to operations in order to be sure that what is done across the group in many different countries and on different projects as we manage a portfolio of 2,500 projects as in a way to be centralized. I mean, we want to keep decisions and management at a local level, but not when it comes to cash information, it has to be centralized.
 I think we have the tools. We just need to have the rituals and the governance in order to understand how when you consolidate that it has an impact going forward on your cash generation. It can be a question of deliveries, number of cars in -- on the factories to be sure of how many cars you will produce and how many will be accepted by the clients on a weekly or monthly basis.
 It could be the question of where we are exactly in the tender process and in the booking of orders and the payments -- of down payments. It can be also in terms of progress payments what are the milestones, are we missing something, can we anticipate some discussions with the clients. This is the kind of things. And of course, inventories, how are we in the -- in terms of coverage, in terms of weeks of production, is it time to stop ordering new parts or do we have time in order to do so before getting above, I don't know, 10 weeks, for example, but it depends on components, long legal times. It could be longer than that. 
 So we have to balance a very local and detailed view on this cash and centralized information and drumbeat of actions. And then, you have to articulate that with your financial planning. And that is where rolling forecast, it's my own word, but it's a very well-known and spread over many different global companies to manage things like that.
 I think that really what is crucial is just move from a financial governance where you look back to what you've done to something when you look forward and in order to anticipate and to base actions on planning and not only on actuals. So that's a 2-fold action. And that's the whole thing that makes what I call a chain of control of cash.
 I will not tell you that it's easy because we have to change a lot of things in the way we manage the company. And the first rolling forecast has been implemented at the end of October. So that's quite recent. As a new cockpit, it has been designed since May last year. So it's just -- we are just putting it in place and it has to work, but we are going strong on those actions in order to deliver results.
 Henri? 
Henri Poupart-Lafarge: Next question. 
Operator: And we'll now move on to our next question from Alexander Virgo at Bank of America. 
Alexander Virgo: I guess it's just to pick up a little bit on the last question there because I don't think you quite answered a bit about changes in incentives. And obviously, making a change in short-term incentive schemes in midyear is a strong signal. But what are you actually going to be comping people on KPI and what are the KPIs you're looking at? And if you could give us an indication of that? Because obviously, that's pretty critical to delivering your FFO. 
Henri Poupart-Lafarge: Thank you for the questions. On this one, it's quite simple. Basically, we kept the same scheme as a plan at the beginning of the year with, as you can imagine, a number of indicators, cash, profitability, but as well as ESG indicators, and we just apply to this scheme a multiplying factor depending on the cash flow generation.
 So if it cannot -- that's why I think it's very unique because it cannot be greater than what was anticipated. And again, inside the scheme, you have already some cash flow indicator. But globally, it will be impacted by coefficient depending on where we will be at the end of the year in terms of cash flow generation, which means that it cannot be greater than, again, what was -- what would have been the natural computation of the bonus. But it will be at that level if we come back to the previous situation. Otherwise, it will be decreased accordingly. 
Operator: We'll now move on to our next question from Vlad Sergievskii at Barclays. 
Vladimir Sergievskiy: Thank you very much for taking my 2 questions. I'll go one by one if I may. First on the cash flow composition. On the call, on the 1st of October, you said that the cash flow was about 50% driven by effectively prebuying of inventories if I remember that correctly. And I'm looking at the balance sheet, and the inventories for raw materials and supplies only increased by about EUR 200 million in first half. 
 And at the same time, unbilled receivables jumped by about EUR 800 million. Then, also you mentioned down payments as a headwind in the first half. And I'm looking at contract assets, and they actually increased. Can you please comment on what the reasons for this cash burn are still the same as they were in the -- on the 1st of October? 
Bernard-Pierre Delpit: Okay. I will take this one. I think that we have to talk later on, on reconciliation of numbers because on my side I see more a EUR 500 million increase in inventories. So we will discuss it further, but that's the numbers. And in terms of down payments, what I said on the 4th of October is it's the gap with expectations, not with last year. So maybe some understanding here. But, yes, in terms of down payments, the problem is that we are -- we expected more than what we had. And that came as a difference between where the market expected and what we delivered for the first half. Hope it's clear. 
Vladimir Sergievskiy: That's all clear. My last and second one is on the debt. I mean, obviously, gross debt you reported is close to EUR 6 billion including pensions and leases. Are you willing to disclose what the number is today? I mean we see the commercial paper data, it's increased by about EUR 200 million since late September. 
Bernard-Pierre Delpit: Yes. On this one, I think it's on the appendix of our presentation. In terms of debt, you have both the net debt as we reported and the bridge as well. I can't remember the page -- it's on Page 38, so we have the net debt as reported and the other element of the bridge. 
Operator: And we will now move on to our next question from Jonathan Mounsey of BNP Exane. 
Jonathan Mounsey: You talk of the EUR 2 billion balance sheet reinforcement plan. I just wonder if we could understand, obviously, there must be kind of an economic or rather demand scenario that underpins that given the prepayments -- the net prepayment number tends to be very sensitive to the strength of your order intake.
 You've already talked, I think, Henri, about being a bit less positive about the commercial outlook. What are we talking about here? Could it be that the book-to-bill goes below 1 in the next couple of years? And is EUR 2 billion size to be enough that you could trade through with kind of weaker prepayment environment that, that would apply?
 And another way of looking at it. When we look at that debt bridge, the 2026 debt bridge, does that include a prepayment outflow as the base case? Or are you assuming a prepayment inflow? Maybe just help us understand that. 
 And then as a follow-up, just when you were talking about the quasi-equity, at a point, it sounded like you're implying that you might sell a stake in a subsidiary asset rather than a stake in Alstom itself. Did I hear that correctly? 
Henri Poupart-Lafarge: Obviously, as you can imagine, we -- all our scenarios are based upon scenarios precisely. So we had different types of assumptions regarding the down payments and the commercial activities. We don't consider that there will be -- and this was one part of your question, a worsening of the terms of payment. I think the terms of payment will remain stable, but we have some different types of scenarios in terms of volume of order intake. 
 In our book-to-bill below 1, this year, in the rolling stock activity, we may end up the year with a book-to-bill below 1. We are -- as you know, we are also changing our mix towards more signaling and more services, which I fully support in terms of business model, both in terms of regularity of the cash flow risk profile and so forth.
 It has a negative consequence on our down payments. And I'm not ruling out that this year in terms of pure rolling stock it will be below 1. So that's something that can be envisaged on this activity alone. As again, we are favoring, privileging the service and signaling over rolling stock. 
 To your second point, yes, you have heard it correctly, the quasi-equity issuances is more on our subsidiaries. It's not global, it's ones of instrument at Alstom level that we are contemplating. 
 Okay. I think we need to -- we have extended the time a little bit. I think we should take the last question if I may. 
Operator: Sure. We'll now take our last question from Arnaud Palliez at CIC Market Solution. 
Arnaud Palliez: 2 questions. The first one is regarding your plan to refinance from assets offering cash flow visibility by -- with the contribution of minority shareholders. So I just would like to understand if it means that these assets are mostly in the system business as it's probably where some infrastructure sense could be -- could have some interest? So that's the first question. 
 And the second one is on the level of inventories. You've explained that part of the increase in this level is -- was explained by the disruptions in the supply chain and the need to take your procurement. So I would like to know if you are seeing some improvement at this level and if tensions on the supply chains are a bit lower today than they were a few months ago. 
Bernard-Pierre Delpit: Okay. I will take the first one and leave the second one to Henri on the supply chain. On the first one, too early to tell exactly what kind of activities could be subject to this structuration. It has to tick some boxes. It has to be ring-fencible if I may say, to be well documented from a legal point of view and to provide stable revenues in order to sustain the entry or to cope with the entry of a minority shareholder. 
 I want here to say, again, that we will keep the full control of these activities. We will continue to consolidate those activities in our numbers. So it has to do with what I would call some financial structuring, engineering in a way in order to inject capital. So it's not financial engineering to inject that. That's absolutely the opposite. 
 It's financial engineering to inject equity. And I think that's why we see that as very positive. There are some precedents in the market. And I think it's all -- in all times, it has improved the situation of the balance sheet of those companies. So we are really looking at it with a positive view. 
Henri Poupart-Lafarge: Thank you, Bernard. On the second question on supply chain, I will answer, yes and no. On the global supply chain issue and what we experienced over the last few years, this has definitively softened. And we have the -- now -- I mean, if you took electronic components, and we are still, of course, monitoring the situation very closely, but it is much easier than in the past. 
 And similarly, for commodities -- similarly, for example, for logistics as well, the price of shipping has dropped a lot. But at the same time, as we are ramping up quite rapidly and quite swiftly, of course, it puts some of our classical suppliers or railway suppliers at risk and in tension because not only us, we are growing, but some of our competitors are growing as well, and we are using the same kind of supply chain. 
 So there are some supply chain bottlenecks, but which are more, I would say, classical for our type of business rather than the global macro supply chain issues.
 So thank you. Thank you very much. I think, again, thank you for your time. Thank you for your attention. And I'll be happy to have the opportunity to meet some of you personally in the coming days. I just want to close this meeting by telling you how committed we are to implement this comprehensive plan in order to give you more visibility on our cash flow and to improve our cash flow generation situation.
 I remind you that we have a plan which basically has 3 pillars, the first one on operational and commercial plan, cost efficiency, working capital optimization. Second one on balance sheet strengthening, and I did myself the balancing -- balance sheet strength is of utmost importance in our type of activity. 
 And the third one on organization, governance, bonus scheme, and so forth to make sure that the company is fully up and running to deliver its cash target -- that's cash on profitability target, I should say. 
 Thanks a lot again, and talk to you very soon. 
Operator: This concludes today's call. Thank you for your participation. You may now disconnect.